Operator:
Kerri Thurston: Thank you. Good morning. We would like to welcome you to Garmin Limited’s Fourth Quarter 2011 Earnings Call. Please note that a copy of the press release concerning this earnings call is available at Garmin’s Investor Relations site on the Internet at www.garmin.com/stock. Additionally, this call is being broadcast live on the Internet. Please note that this webcast does include slides, which can be viewed during the call. An archive of the webcast will be available until March 28th and a transcript of the call will be available on the Website under the Events Calendar tab. This earnings call includes projections and other forward-looking statements regarding Garmin Limited and its business. Any statements regarding our future financial position, revenues, earnings, market share, product introductions, future demand for our products and objectives are forward-looking statements. The forward-looking events and circumstances discussed in this earnings call may not occur and actual results could differ materially as a result of risk factors affecting Garmin. Information concerning these risk factors is contained in our Form 10-K for the year ended December 25th, 2010 filed with the Securities and Exchange Commission. Our 2011 10-K will be filed on February 29th. Attending on behalf of Garmin Limited this morning are Dr. Min Kao, Chairman and Chief Executive Officer; Cliff Pemble, President and Chief Operating Officer; and Kevin Rauckman, Chief Financial Officer and Treasurer. The presenters for this morning’s call are Cliff and Kevin. At this time, I would like to turn the call over to Cliff.
Cliff Pemble: Thank you, Kerri and good morning everyone. As we announced earlier this morning, Garmin delivered strong results in the fourth quarter, with consolidated revenues increasing 9% year-over-year to $910 million. This growth was broad based with each of our business segments contributing. Gross margins improved year-over-year, up 240 basis points to 47.7%. Revenue growth combined with improved gross margins resulted in both operating income and EPS growth. Operating income for the quarter grew 8%, while pro forma EPS came in at $0.96, a 16% improvement over the prior year. As a group, our traditional market segment for the aviation, marine, outdoor and fitness contributed 61% of our total operating income for the quarter and revenue from these segments grew nearly 19%. We sold 6.1 million units in the quarter, which was flat year-over-year. Auto PND unit volume was down slightly; however this was offset by higher volumes in outdoor, fitness and marine. We generated $213 million in free cash flow during the quarter, resulting in a cash balance of just under $2.5 billion. Looking at highlights for the full year, consolidated revenue increased 3%, as new product categories increased market share and emerging market opportunities delivered results that exceeded the expectations we established at the beginning of the year. As a group, our traditional market segments grew 14%, contributing $1.2 billion in total revenue for the year. The revenue growth in these segments combined with their strong margin profiles generated 71% of our operating income. We delivered over 15.8 million units in 2011, a decline of only 1% year-over-year. Weakness in the North American PND market was partially offset by stronger PND shipments through the EMEA and APAC markets. Unit growth in the outdoor, fitness and marine markets also helped close the gap. From a geographical perspective, the EMEA region grew 19%, outpacing all other geographies. All market segments contributed to the growth including PND. We generated $784 million of free cash flow in the year, which was partially used to fund our quarterly dividend and to complete numerous acquisitions aimed at further diversifying our revenue base. Next, we will review each of our business segments highlighting 2011 performance, outlook for 2012, and a summary of long-term strategic initiatives. Starting with marine segment, we reported year-over-year revenue growth of 12%, driven by improved market conditions and share gains across our product portfolio. We experienced strong market share gains in the OEM segment and expanded our presence in the inland market, with the introduction of our new echo fish finders. During the year, we expanded our product portfolio with SONAR and autopilot solutions that brought new innovation to the marine market and enhanced our ability to serve the sail and large boat market. Throughout the year, we invested heavily in the marine segment, with increased research and development and rebuilt additional support infrastructure to serve our growing base of OEM customers. This has compressed margins in the near term; however we are confident that these investments are critical to growing revenue and market share going forward. For 2012, we are targeting revenue growth of 5% to 10% in the marine segment, as market conditions continue to improve and as recent OEM wins and product introductions provide revenue contribution for the full year. At last weeks’ Miami Boat Show, we announced relationships with Teleflex and Viking, both of which will target the larger boat market and will contribute to revenue in 2012. 2012 will also be a year of significant investment as we develop products and opportunities that will contribute to growth in 2013 and beyond. In the coming years, we seek to increase our share in the mid-to-large sized boat categories. Leveraging our relationships with Volvo Penta, we will create equipments that will embed us deeper into the boat, with innovative new engine and navigation displays. In addition, we will be working to expand our share of the inland market through innovative content and technologies leveraging the recently announced acquisition of Interphase. Turning next to aviation, we reported year-over-year revenue growth of 9%, which we view as a significant accomplishment in light of the ongoing challenges facing the general aviation industry. The General Aviation Manufacturers Association reported a 10% decline in aircraft shipments through the first three quarters of 2011. This decline is in addition to the already depressed shipment levels of 2009 and 2010. Despite the ongoing negative trends, revenues generated from OEM customers were relatively flat for the year outperforming the general market. During 2011, we made significant progress in securing wins in the Part 23 and Part 25 business jet market. Cessna selected our G3000 system for the citation M2, a Part 23 aircraft that will enter the market in 2013. Additionally, Cessna selected the G5000 for the citation latitude, a Part 25 aircraft that will enter the market in 2015. We also made additional inroads into the OEM helicopter market where our primary flight display system was integrated into the Bell 407GX. Last year, we introduced the GTN 650 and 750, which were the first panel mounted products to feature touchscreen operation. These new products have been well-received by the markets and were a significant contributor to the growth we experienced in 2011. In 2012, we are targeting revenue growth of 5% to 10% in the aviation segment, as recovery for the industry continues to ride out of the overall economy. We are hopeful that the OEM market will stabilize in 2012. However, we do not expect to see meaningful growth from OEMs this year. Despite this soft outlook, we see many opportunities in years ahead and we will continue to invest in certifications with our business jet partners that will result in significant growth opportunities when the market begins to recover in 2013 and beyond. In light of these opportunities, our growth initiatives are focused on continued development of our G3000 and G5000 platforms with OEM partners, which will be the foundation of growth in 2013 and beyond, identifying and capitalizing on additional retrofit opportunities, further expansion into the helicopter market with recent announcements at the HELI-EXPO naming Garmin as the standard avionics provider on the Bell Relentless, which will launch in 2016 and an optional avionics provider on two Eurocopter models launching in 2013. And we are well positioned for opportunities created by the FAA’s transformation of the National Airspace System from a ground-based system of air traffic control to satellite-based system of air traffic management. In the outdoor segment, we reported year-over-year revenue growth of 14%, which was primarily driven by new product introductions, expansion into new categories and contributions from recent acquisitions. A few highlights from the year include the acquisition of Tri-Tronics, which expand our offerings to include training devices for both sport dogs as well as household pets. Capturing significant share in the GPS-enabled golf category with unique products such as our Approach S1 golf watch and offering a range of products and price points with something for every customer. Our new Montana series is a premium device, offering advanced features and improved versatility over existing handhelds in the market. Our totally refreshed eTrex series is perfect for customers looking for a basic device and has been well received by the market. Looking at 2012, we expect revenue growth of 5% to 10%, driven by ongoing momentum from recently introduced products, and we will leverage opportunities in the dog training markets through the Tri-Tronics acquisition. Our growing market share in the GPS-enabled golf category presents an opportunity to expand our distribution channels, both domestically and abroad, as more shops wish to stock our products. Long term, we will create new opportunities by identifying adjacent markets and product categories as we have done in the past. We will maintain our focus on utilities, content and innovative form factors to engage both new and repeat customers in the segment. In the business segment, we reported year-over-year revenue growth of 24%, as the market expanded and we maintained our leadership position in the GPS-enabled fitness category. We remained focused on offering a broad range of products appealing to both elites, athletes as well as recreational participants. We refreshed our premium Forerunner product line in 2011, with the 610 touchscreen watch. This product offers unmatched utility, ease-of-use and innovation and has been very well received by athletes around the world. In the cycling market, we introduced the Edge 200, which appeals to value-oriented cyclists who wish to experience the benefits of GPS-enabled cycling computers. In 2012, we are targeting revenue growth of 20% to 25% in the fitness segment. One of our key initiatives for the year is the completion of the Vector power meter, which we expect to deliver this summer. Across each of the fitness categories we serve, we plan to offer a broad range of products that appeal to all athletes. Looking beyond 2012, we believe the fitness segment will continue to grow as society becomes increasingly aware of the important roles that fitness plays in the pursuit of a healthy lifestyle. We will focus on delivering compelling and useful products to the market with a complete solution, including devices, wireless connectivity, measurement sensors and a well-developed web portal. We will continue to build the Garmin Connect community, which has logged over 1.5 billion miles by delivering a satisfying and complete user experience that complements our devices and our mobile applications. We plan to increase our share in the cycling market by offering a broad range of innovative products and by leveraging opportunities created by the Vector power meter. And longer term, we seek to capitalize on the profitable opportunities within the wellness base where we can leverage our knowledge of hardware, software and connectivity. Turning to the auto/mobile segment, we are pleased with our financial performance in light of the ongoing challenges in the PND markets, with revenues up 4% for the quarter. For the year, we posted a 5% revenue decline, while maintaining strong profitability. When normalizing for the deferral of high margin revenue associated with bundle PNDs, our full-year 2011 operating margin in the segment was 17%. In addition, we grew our market share during the year, thereby strengthening our position. Notably, we exited 2011 with greater than 60% share in North America and approximately 30% share in the EMEA. In 2011, we introduced the simplified family of newbie products offering something for every lifestyle and budget, beginning with the Essential series, followed by the Advanced series and finally the Prestige series. This new product family was well received by both our retail partners and consumers during the Holiday shopping season. Also, in 2011, we acquired Navigon. We will continue the integration of Navigon in 2012 building from the foundation that made the acquisition important to us, their OEM customer base and well-respected technology, their European PND market share and their strength in the mobile application space. Looking at highlights from the auto OEM market, we were pleased to be recognized by J. D. Power and Associates for the Highest Customer Satisfaction with Factory-Installed Navigation during our first year of eligibility. The Garmin navigation system in the 2011 Dodge Charger ranked 1st, with the Chrysler 300 system ranking 3rd. This recognition confirms consumers value a seamless navigation experience that is intuitive and feature rich, an experience that Garmin has successfully delivered to our markets for over 20 years. Additional programs announced and delivered during the past year include the Volkswagen UP compact vehicle where Navigon was selected as the exclusive provider of navigation and the Suzuki Grand Vitara and SX4, which features a semi-installed version of our nuLink 2390 connected navigator. Looking ahead, we expect PND unit delivery to continue to decline in 2012, driving revenues down 7% to 10%. We will look for opportunities to grow in emerging markets and to profitably gain market share to offset the continued declines we foresee in the North American and European markets. We will continue to invest in auto OEM opportunities in 2012, leveraging our broad capabilities as an OEM and consumer electronic supplier. In addition, mobile applications provide a near-term opportunity for growth, as the smart phone segment continues to expand, and we will realize a full year contributions from Navigon’s popular smart phone application. Beyond 2012, we will be focusing on expanding our auto OEM business through the additional program win, as navigation becomes an integral part of the dashboard and maximizing profitability in the PND markets as the market leader. Given our revenue outlook and expectations for each segment, we are projecting revenues of $2.7 billion to $2.8 billion in 2012, with gross margins stable to slightly increasing from 2011 levels. We are projecting operating income between $520 million and $540 million, with operating margins of 19% to 20%. The decline in operating margin is a result of increased investments in strategic long-term growth initiatives mentioned earlier, factoring in an effective tax rate of 13% results in forecasted 2012 earnings per share of $2.45 to $2.60. In summary, we are pleased to have delivered strong results in the fourth quarter, highlighted by revenue growth in each business segment and geographically area we served. During 2011, we were able to increase our share in several key markets, we delivered desirable new products and we were able to leverage the growing market segments in order to achieve better-than-anticipated results. Looking forward, we see significant opportunities ahead as we anticipate improving economic conditions and we are well positioned to serve with a strong lineup of new products. With confidence in our business and the improving conditions we see around us, we are pleased to announce a proposal to increase our quarterly dividend to $0.45 per share, which will be considered at our Annual Shareholders Meeting in June. Kevin will provide more details on our dividend proposal in just a moment. Finally, I wish to take this opportunity to thank our dedicated associates for their efforts during the past year. While there are many uncertainties around us, you maintained the focus and worked hard to make 2011 a great year. Thanks so much for your contributions. This concludes my remarks. I will turn the call over to Kevin, who will walk us through the financial results in more detail. Kevin?
Kevin Rauckman: Thanks Cliff and good morning everyone. I would like to begin the financial update with a walkthrough of our income statement followed by review of our margins and then conclude with our balance sheet and cash flow position. In Q4, we posted revenue of $910 million, with net income of $166 million. Our pro forma EPS was $0.96 per share, which excludes the foreign currency loss. Our revenue represents an increase of 9% year-over-year. Gross margin came in at 47.7%, which was a 240 basis point improvement from the prior year. The first time in six quarters, we experienced year-over-year operating income expansion going from $185 million to $200 million. Operating margin was 22% flat from the prior year. The components of our operating margin were gross margin being 240 basis points favorable, offset by our advertising which was 90 basis points unfavorable, up $12 million on a year-over-year as we utilized TV advertising in the holding quarter combined with increased co-op expenses. SG&A was 80 basis points unfavorable, up $14 million on a year-over-year basis due primarily to the acquisitions. While 70 basis points unfavorable, up $13 million on a year-over-year basis due primarily to acquisitions as well. Our pro forma EPS of $0.96 represents a 16% increase year-over-year, driven by increasing revenues and a slightly lower effective tax rate. Our units shipped were flat year-over-year at 6.1 million units were delivered during the quarter and our total company average selling price was $150 per unit, up 9% from 2010 driven by product mix. For the full year, we posted revenue of $2.76 billion, with net income of $521 million. Our pro forma EPS was $2.73 per share, which also excludes our foreign currency losses. Our revenue increased 3% year-over-year, while our pro forma EPS decreased 5% when excluding FX and a $0.50 per share one-time tax adjustment we posted in 2010. Our gross margin at 48.5% was a 150 basis points decline over the prior year, due to warranty adjustments during 2010, which contributed 150 basis points. Operating income fell 13% to $554 million compared to $637 million in 2010. Our operating margin was 20.1%, down 360 basis points of 23.7% last year. Gross margin was 150 basis points favorable. Amortizing 10 basis points favorable and flat on a year-over-year basis, our SG&A was 170 basis points unfavorable, up $53 million on a year-over-year basis, driven primarily by acquisitions, web-based commissions, product support and legal costs. R&D was 50 basis points unfavorable, up $22 million on a year-over-year basis due primarily to the acquisition. Our pro forma EPS of $2.73 was a 4% decrease year-over-year, on increasing revenue and slightly lower effective tax rate, offset by declining growth and operating margins. Units shipped were down 1% year-over-year as 15.8 million units were delivered during the year. The decrease in North American PND volume was partially offset by growth in other geographies in our other segments. Our total company average selling price was $175 per unit, up 4% from 2010 due to product mix. The non-GAAP measures that we have reported net income per share excluding the effects of foreign currency translation and a one-time tax adjustment booked in Q3 as I mentioned. The Q4 2011 GAAP impact from foreign currency loss was $0.11 and Q4 2010 GAAP impact from foreign currency loss was $0.15. The full-year 2011 GAAP impact from foreign currency loss of $0.06, while the 2010 loss impact the $0.38 offset by a $0.50 gain related to the large one-time tax adjustments. Going to U.S. GAAP, we must defer revenue on certain products. And this table summarizes the net impact of the deferral and amortization of revenue and related costs in the fourth quarter and full-year 2011 and 2010. First, in the current quarter, we deferred approximately $0.26 of EPS in the future periods compared to $0.19 in the fourth quarter of 2010. Most of these revenues and costs will be amortized straight line over a three-year period. For the full year, we deferred approximately $0.66 of EPS in 2011 compared to $0.42 in 2010. While we are deferring revenue according to U.S. GAAP, we are collecting the cash at the time of the sale, which is reflected positively in our statement of cash flows, which I will review in a minute. In total, our revenues increased 9% during the fourth quarter and 3% for the full year. During Q4, we experienced a 4% revenue increase within the auto/mobile segment as volume declines were offset by improved pricing due to product mix. Our outdoor segment posted accelerating growth at 35% due to pent-up demand for new products and market share gains with the GPS-enabled golf market. The fitness segment continued to grow with a 17% revenue increase when compared to Q4 2010 on the strength of our fitness products during the Holiday quarter. Aviation segment revenues increased 1% compared to Q4 2010, as retrofit growth was largely offset by program contribution related to our business jet cockpit win. And marine segment revenues increased 15% compared to Q4 2010 as both the aftermarket and OEM markets improved for Garmin. During Q4, all geographies were stable or growing, with EMEA posting the strongest growth at 28%. For the full year, EMEA grew 19%, while Asia Pacific grew 13%. Geographies were partially offset by a 7% decline in the Americas, driven by the PND volume declines. For 2011, the Americas represent 55% of revenue, EMEA increased to 31% of total revenue in 2010 to 36% in 2011, and Asia from 8% to 9% in the same period. So, the auto/mobile segment represented 64% of our total revenue during the fourth quarter, down from 67% in Q4 2010. Outdoor grew to 13% of revenues in the quarter, an increase from 11% a year ago. The operating income contribution of the outdoor and fitness segments increased to 30% and 20% respectively, or 50% of our total business. In total, the traditional segment contributed 61% of our fourth quarter operating income. On a full-year basis, auto/mobile revenue contribution declined from 62% to 58% in 2011, with games and outdoor, fitness and marine, which contributed 13%, 11%, and 8% respectively. The operating income contribution of the auto/mobile segment shrank 29% in 2011 compared to 39% a year ago. Our traditional segment contributed 71% of the full-year operating income, with strong gains in both our outdoor and fitness segments. Looking next at the margin by segment, our fourth quarter auto/mobile gross margin and operating margin were 38% and 13% respectively. The year-over-year improvement in gross margin, it was primarily driven by improved average selling prices due to product mix shifting towards higher priced bundled offerings. Operating margins in the quarter were 13% or 20% when adjusted for deferrals. This is slightly higher than the normalized operating margin of 19% fourth quarter of 2010. Q4 outdoor gross margin was 68% consistent with Q4 of 2010. Operating margin was 49%, a decline from 53% in the year-ago quarter due to increased allocation of advertising and SG&A expenses for this segment. Q4 fitness gross margin was 64%, stable from the year-ago quarter and operating margin was 43%, again consistent to the year-ago quarter, as both revenue and expense growth were evenly paid. Q4 marine gross margin was 60%, compared to 63% in the year-ago quarter, as product mix shifted towards lower margin products. Operating margin was 22%, down from 29% a year ago, driven by the gross margin declines and increased R&D and SG&A expenses to support our long-term marine OEM strategy. Finally, Q4 aviation gross margin was 65%, down from 70% in Q4 of 2010, due to OEM program contributions. Operating margin was 18% for the quarter, down from 26% in the prior year due to the decline in gross margins and increased R&D expense associated with our new OEM programs that will begin to contribute to revenue in 2013. Moving next to the balance sheet, we ended the quarter with cash and marketable securities of almost $2.5 billion. Our accounts receivable balance increased sequentially to $607 million due to sales growth during the Holiday quarter. Accounts receivable accounted for approximately 81 days of sales when calculated on a trailing four quarters, compared to 101 days of sales in the fourth quarter of 2010. We have already collected approximately $350 million of our year-end balance. Our inventory balance has decreased to 398 million on a sequential basis at the close of the fourth quarter. Our days of inventory metric was 102 days, compared to 119 in the fourth quarter of 2010. We ended the quarter with the following amounts and number of days of inventory $129 million in raw materials, representing 31 days; $52 million in work in process and assemblies, or 13 days; and $246 million in finished goods, or 58 days of inventory and we closed the year with $29 million in inventory reserves. You will also notice on our balance sheet, that we show a $78 million dividend payable to be paid on March 31, 2012. We continue to generate strong cash flow across our business, as cash from operations was $225 million during the quarter. Our CapEx spending was $12 million during Q4. Therefore, we generated free cash flow of $213 million. Cash flow invested during the fourth quarter was $164 million, including the $12 million in CapEx and $157 million net purchase of marketable securities, offset by a $4 million gain on the sale of property, plant and equipment. Financing activities were $160 million use of cash during Q4, due primarily to the dividend payments we made on both September 30th and December 31. We earned an average of 1.5% on all cash and marketable securities balances during the quarter and our full-year operating cash was $822 million, with free cash flow of $784 million. We expect our strong free cash flow generation to continue in 2012, and with it, we plan to continue to fund a strong dividend. As Cliff mentioned, we will ask shareholders to approve a $0.45 per share quarterly dividend at our June annual meeting, representing a 4% yield, at the stock price of $45. We will also continue to pursue acquisitions in adjacent niche markets or tuck-in technologies, which fit with our core markets. As has been our practice, acquisitions will be evaluated by technology, values, compatibility, and strategic fit within Garmin. Our tax rate for the full year 2011 was 10.8%. We do expect the 2012 rate to be approximately 13%, and the increase in this forecast of effective tax rate is attributable to revenue mix by different tax jurisdictions. And finally, Cliff has reviewed our 2012 guidance, but I will just further highlight, that we have four solid growth segments, and we will continue to invest for long-term growth across the entire business. Our strong profitability and market diversity position us well for both 2012 and the future. This concludes our formal remarks for the morning. We will now move to a period of Q&A.
Operator: (Operator instructions) And we will take our first question from Yair Reiner with Oppenheimer & Company.
Yair Reiner – Oppenheimer & Company: Congrats on a very strong quarter. So, first question, you mentioned that you expect the auto/mobile to be down about 7% to 10% next year. How much are you figuring in terms of deferrals next year compared to this year?
Kevin Rauckman: I think the deferrals, as we made a change in estimates at the end of the third quarter, will be – have been coming down on a per-unit basis. We will not comment or quantify how much, just given the fact that there is lot of variables into 2012, but in general, we would see a little bit lower amount as we go through the 2012 year.
Yair Reiner – Oppenheimer & Company: And then on the outdoor segment, it was very strong and I think unusually strong is kind of a seasonal sense. Is that reflected of any one-time factors or does that reflect the fact that you have a different mix of golf products and training products that maybe more gift to you than your prior product portfolio?
Cliff Pemble: Hi Yair, this is Cliff. There is probably a combination of factors. I think in the last call, we mentioned that we were unable to deliver all of the Montana products in Q3 that we had hoped to deliver that we went into Q4 with some backlog that we were able to catch up on, but we also had strong interest in our golf products as well as in our eTrex line, which helped drive growth.
Operator: And we will take our next question from Simona Jankowski with Goldman Sachs.
Simona Jankowski – Goldman Sachs: Hi, thanks so much. Just wanted to make sure I understand your guidance a little bit better. So, your EPS in the quarter you just reported was up 16% year-on-year, but then the guidance you are giving is for mid-to-high single digit decline for 2012. So, can you just expand a little bit on what drove that conservatism? And then just as a follow-up, in terms of the PND units in the quarter itself, if you can just give us a bit of a sense of what drove that strength and how much the extra week in the quarter might have contributed?
Kevin Rauckman: I think the first question is, when we look at each of our business segments, we did have a very strong Q4, but looking forward, we did still see the North American market declining on PND next year, which is driving a lot of our overall PND expectation of down 7% to 10%. And as we said in the formal remarks, the fitness business is going to continue to perform quite strongly, and the other businesses will be into single digits, 5% to 10%. So, I mean, those are the primary reasons that we want to continue to and we need to continue to invest in some new opportunities primarily in the auto OEM and the aviation and marine OEM segments. So, that will pull us to the roughly to $2.45 to $2.60 EPS number we commented on. In terms of the PND strength, I think primarily we saw market share gains in Europe. I think Cliff mentioned the Navigon business, we did see a pretty decent Q4 and the Holidays Q4 in the U.S. market, which helped our overall PND numbers for the quarter.
Operator: And we will take our next question from Jonathan Goldberg with Deutsche Bank. Mr. Goldberg, your line open. Please check your mute button.
Jonathan Goldberg – Deutsche Bank: Hi, can you guys hear me now?
Kevin Rauckman: Yes. Good morning, Jonathan.
Jonathan Goldberg – Deutsche Bank:
Cliff Pemble: We don't typically break it down by product category. As I mentioned earlier, we did have some strength in backlog products, so we came out of Q3 with orders from Montana that we were able to fulfill. We also had strong uptake on our golf watch in the outdoor segment. So, we are growing market share there and we feel good about our position in that market. Fitness, in general, has been broadly strong across both running and bike products, and so it just continues to grow as the market expands, and we are able to maintain leadership position there.
Jonathan Goldberg – Deutsche Bank: Do you have a sense of what your growth rate in the fitness category was versus the overall market? We grow at double the rate of the market?
Cliff Pemble: Yes, I think it's difficult to say. There is not a lot of good research in the market. I think the dynamics of the market are such that there is a lot of sales driven out of small shops and that's not the kind of thing that can be tracked easily like big box retailers.
Operator: And we will take our next question from James Faucette with Pacific Crest.
James Faucette – Pacific Crest: Thanks very much. Wanted to touch on a couple of things also related to outdoor and fitness. First, I think in the prepared comments, it was mentioned that Vector power meter would be shipping in the summer. Is this a push out from kind of the March-April timeframe that we have understood, you were looking for, firstly? And secondly, can you talk a little bit about what the margin outlook is for the outdoor and fitness segments going forward? I am sure we – are you expecting margins to be sustained or do you expect there to be some more competitive pressures there? Thank you.
Cliff Pemble: Yes, James, I will handle the first part of the question and I will turn it over to Kevin for the second. But regarding, Vector, yes we did push out the Vector deliveries by approximately three months. The development is going well and still ongoing, there are some manufacturing issues we are resolving, but we have confidence that we will be able to deliver.
Kevin Rauckman:
James Faucette – Pacific Crest: Great, thank you.
Kevin Rauckman: Thanks.
Operator: We will take our next question from Scott Sutherland with Wedbush Securities.
Scott Sutherland – Wedbush Securities: Hi, great. Thank you, good morning. Congratulations on the quarter.
Kevin Rauckman: Good morning, Scott.
Scott Sutherland – Wedbush Securities: First of all, maybe talk about the deferrals, it has been a drag on the EPS line. Are you still expecting that to start to turn neutral or positive this year or into next year?
Cliff Pemble: Yes, we have been saying for quite some time that we would expect that dynamic to change, and at this point, it looks like we will start to get some tailwind. It's very difficult to know whether that's going to be Q1 or Q2, or the back half of the year, but we would expect it to be less of a year-over-year drag than we have seen in the past.
Scott Sutherland – Wedbush Securities: Okay, And two part question, when you look at the fitness segment, can you talk about how you view competition from smart phones, a lot of that applications there at CES. Maybe, where you can drive growth, is it new categories, or is there still some global expansion opportunities or other areas that you can drive growth here on the business segment?
Cliff Pemble: Yes, Scott, we definitely see what's going on with the smart phones, in fitness, I think particularly, bikes is a popular area to use the phone. We offer applications on the phones as well and are beginning to get a sense of what that market is. I would say that, we feel that those applications tend to complement the devices and people that may be get introduced to fitness through applications, are interested in using a dedicated device as they continue to be serious going forward. So, we have not really seen that, that has been a major impact.
Operator: And we will take our next question from J.B. Groh with DA Davidson.
J.B. Groh – DA Davidson: Good morning, guys. Kevin, sorry if I missed this. Did you give an organic growth rate for the quarter?
Kevin Rauckman: No, we did not. I think what we would have experienced is, we picked up, due to acquisitions about $60 million within the quarter. So we would have had with a lower single digit growth, but still growth.
J.B. Groh – DA Davidson: And the vast majority of that shows up in the PND area?
Kevin Rauckman: That’s correct.
J.B. Groh – DA Davidson: Okay, that’s all I had. Thanks a lot Kevin.
Kevin Rauckman: Thanks JB.
Operator: And we will take our next question from Tavis McCourt with Morgan Keegan.
Tavis McCourt – Morgan Keegan: Thanks for taking my question. I wonder if you could quantify the Navigon impact in Q4 either in terms of revenue contribution or maybe the share contribution in EMEA, and even if you can give real detail, just something qualitative would help? And then also in terms of the PND trends, you said U.S. had a strong quarter in Q4. I was wondering if you could talk a little bit about kind of the divergent trends if there are any, between kind of the U.S. market and Europe for PNDs?
Cliff Pemble: Okay. So the first question on Navigon, as I said, we experienced about a $60 million benefit due to the acquisitions, and most of that came from Navigon and they were – we won't give ultra details. They did have a little bit of a drag on EPS for the fourth quarter. So, looking next at the PND in the fourth quarter, I think we did see – again we saw a very strong performance in EMEA and also the U.S. market was still in decline but at a much less rate than we had projected going into the quarter. So, I think we were pleased with the overall results in our North America or U.S. PND sales.
Tavis McCourt – Morgan Keegan: And in terms of the overall market for EMEA?
Cliff Pemble: Overall markets, are you looking next year primarily?
Tavis McCourt – Morgan Keegan: No, I mean, just in Q4 specifically?
Cliff Pemble:
Tavis McCourt – Morgan Keegan: Great. And then the follow-up for Kevin on the net deferred revenue that you kind of quote in the press release of $71 million or so for the quarter, is that net of what's being amortized from previous deferred?
Kevin Rauckman: Yes, we always record our numbers net of amortization.
Operator: And we will take our next question from John Bright with Avondale Partners.
John Bright – Avondale Partners: Thank you. Good morning. Kevin, assuming market share gains in the marine, auto and aviation OEM segments, can you characterize the ASPs and profitability expectations there?
Kevin Rauckman: Just during the quarter?
John Bright – Avondale Partners: No, looking forward.
Kevin Rauckman: For looking forward, okay. So, looking forward on PND as we project 2012, we are really not projecting any kind of meaningful ASP change. We are looking at about a flat ASP difference year-over-year. Now, there are some geographical differences between the various North America, EMEA and APAC and rest of the world, but overall, we see ASP staying neutral. And then for the rest of – for the other segments, we typically, pricing is not a big issue. Our average selling prices have remained fairly consistent over the last couple of years. So, no meaningful changes there either.
John Bright – Avondale Partners: Kevin, I was trying to refer to the OEM market share gains, OEM in marine, OEM gains auto, aviation. What do the ASPs look like in those segments and does the profitability differ dramatically from what you see today?
Cliff Pemble: Yes, I think, John, to maybe address that question a little bit, this is Cliff. The OEM market does tend to be a little bit more aggressive on pricing in order to be able to offer OEMs value to bring the product through their channel, but we are factoring all that in terms of our overall results, and we can't specifically quantify obviously what that pricing is.
John Bright – Avondale Partners: As Garmin transitions and auto/mobile declines as a percentage of revenue, how should investors expect Garmin to manage the allocation of the respective operating expenses?
Kevin Rauckman:
Operator: We will take our next question from Paul Coster with JPMorgan.
Paul Coster – JPMorgan: Yes, thanks for taking my question. A quick one, what channels are particularly working for you at the moment? And is there a channel kind of expansion opportunity for you in Asia Pacific? And in relation to that, can you also comment on channel inventory going into the New Year, where do we stand in terms of the level? Thanks.
Kevin Rauckman: Paul, are you primarily concerned around channels within the auto/mobile or just in general?
Paul Coster – JPMorgan: Yes, I think PND in particular, though I am also interested in the fitness and outdoor.
Kevin Rauckman: I think we have had full channel, distribution channel for years if this market is growing enough, then in decline for few years. The Garmin's distribution is quite strong. I think from an emerging market, we are looking at Latin America some opportunities to expand our growth opportunities in PND products. And then as far as the channel inventory, I think we feel very comfortable with where not only our inventory into the year, but also the inventory in the channel, the retailers have done a reasonably good job of managing that inventory during the holiday season.
Operator: And we do have a follow-up question from Yair Reiner with Oppenheimer & Company.
Yair Reiner – Oppenheimer & Company: Yes. First, on the lawsuit that was dismissed with Triangle Software, what is that going to imply in terms of lower SG&A costs going forward?
Kevin Rauckman: Yes, we have never given lawsuit settlements in terms of absolute dollars. I would put it as a fairly small number in our total SG&A in 2012.
Yair Reiner – Oppenheimer & Company: Okay. And then, in terms of the other big line there, R&D. Should that $84 million that we saw in the fourth quarter be kind of the right go-forward rate?
Kevin Rauckman: I think we had some one-time expenses in Q4, but in general, yes, going forward, we are going to be at that level, if not a little bit above as we add some engineering headcount during the year. So, R&D for 2012 would be the one area that would have the most significant increase to our operating expenses.
Yair Reiner – Oppenheimer & Company: Thank you.
Operator: And we have no further questions in the queue at this time. I would like to turn the call back over to the speakers for any additional or closing remarks.
Kevin Rauckman: As Cliff said, we are very pleased with the results, and we thank you for your interest in Garmin and look forward to a successful 2012. Thanks everyone for participating.
Operator: